Operator: Ladies and gentlemen, thank you for standing by. And welcome to the WOW! Fourth Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. After today's presentation, there will be a question-and-answer session. [Operator Instructions].  I would now like to hand the conference over to your speaker today, Andrew Posen. Please go ahead, sir.
Andrew Posen : Good afternoon, everyone, and thank you for joining our fourth quarter 2020 earnings call. With me today is Teresa Elder, WOW!'s Chief Executive Officer; and John Rego, WOW!'s Chief Financial Officer. Before we get started, I would like to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters relating to our business. These forward-looking statements are made in reliance on the Safe Harbor provisions of the federal securities laws and are subject to known and unknown risks, uncertainties and other factors, including, most recently, the economic uncertainty related to the COVID-19 pandemic that may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements. For additional information concerning factors that could affect our financial results or cause actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC, including the Risk Factors section of our Form 10-K filed with the SEC. In addition, please note that in today's call and in our earnings release, we refer to certain non-GAAP financial measures. Such measures include adjusted EBITDA, transaction adjusted capital expenditures and capital expenditures excluding expansion capital expenditures. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation, or as a substitute for the financial information presented in accordance with GAAP.  Now, I’d like to turn the call over to WOW!'s Chief Executive Officer, Teresa Elder. 
Teresa Elder : Thanks, Andrew. Welcome to WOW!'s fourth quarter earnings call. In addition to our press release, and quarterly trending schedules that are available on the Investor Relations page on our website, we have also included a presentation that we are using to complement our prepared remarks.  Our commitment to and execution of our broadband-first strategy led to a strong fourth quarter and a solid year. The adversity that characterized 2020 did not detract our team from making great progress this year. We adjusted and adapted throughout the year as the COVID-19 pandemic gripped the country. We quickly moved most of our workforce to working from home, accelerated the launch of self-help and digital options like self-install kit, and live agent chat for our customers. All while we focused on delivering meaningful results, including record full year high speed data net additions, and record quarterly and full year high speed data revenue.  In the fourth quarter, our total revenue increased 3% from the same period last year, driven by growth in our high speed data business, which grew more than 13% year-over-year to a record 151 million, more than offsetting a decline in our video and collection business during the quarter.  Our fourth quarter adjusted EBITDA was $123 million, up 13% from the same period last year. The momentum in the fourth quarter bolstered our strong results for the year, with total revenue up slightly from last year to $1.1 billion as growth in our high speed data revenue, offset declines in Video and Telephony.  Full year HSD revenue increased nearly 9% to a record $567 million. We ended the year with adjusted EBITDA of $437 million. The industry trends that we had been talking about for the past three quarters, including the shift in video consumption away from linear TV to streaming alternatives, the acceleration of cord cutting and the continued increase in the importance of high speed broadband, all underpins our broadband-first strategy. We are capitalizing on this opportunity and seeing the impact of these trends on our results, which exceeded our expectations.  During the fourth quarter, we increased our total number of subscribers for the sixth consecutive quarter despite a net reduction in total RGUs. Importantly, we're adding HSD- only customers and keeping a significant proportion of customers who disconnect their video service but maintain their broadband service which shows the success of our strategy. We are growing our customer base with an aggressive and targeted focus on being broadband-first. During the quarter, we added 4,900 HSD RGUs, and for the year, we added 32,300, the highest number of net HSD additions in WOW!’s history, bringing our total HSD RGUs to nearly 814,000. And as we saw last quarter, 86% was the vast majority of our new customers are buying our HSD-only service, a significant increase from the same period last year when 60% of new customers purchased our HSD-only service.  Providing the best customer service is something we believe that sets us apart. We understand that customers want choice, reliability and higher speeds. In the fourth quarter, we increased our minimum speed for existing customers to 100 meg, while we are capable of providing 1 gig speed to nearly 100% of our footprint. This is a testament to the strength and quality of our infrastructure, which is critical as customers continue to purchase higher speed tiers. In the fourth quarter of 2020 more than 86% of new customers purchased speeds of 200 meg or higher. This is a substantial improvement over the prior year when 54% of our new customers purchased 200 meg speeds or higher and 79% in the third quarter of 2020.  Over the past two years, we have invested in our infrastructure, which has enabled us to provide an advanced fiber-rich network with the flexibility to increase capacity in line with rising consumer demand for the higher speeds that we experienced in 2020. The combination of customers purchasing higher speeds and the September 1 rate increase on modems resulted in an increase in HSD ARPU, which grew to $62 this quarter, up from $57 at the end of the fourth quarter a year ago.  Our agile strategy is another element of growth and is continuing to evolve. We have refined our approach to agile and we are increasingly focused on growing penetration across our footprint and reaching more multiple dwelling units, which represents an exciting opportunity and the efficient use of our capital. Our agile strategy continues to show positive results as penetration rates of both the 2018 and 2019 Edge-Out vintages increased again, in the fourth quarter. The 2018, vintages increased to 20.3% up from 19.6% last quarter, and penetration in the 2019 vintages increased to 16.3%, up from 14.8% last quarter. As we are now in the early part of 2021, we've included the penetration rates for our 2020 vintages. Although they represent a smaller number of homes capped due to the limitations imposed by the pandemic, our penetration rates for these homes are growing quickly. We ended 2020 with a penetration rate of 11.5%.  2020 was definitely a challenging year. But we maintained our focus and hit several key milestones. WOW! tv+, our advanced IP video platform is a great product with intuitive, easy to navigate access to content, and is now available to 95% of our homes passed, up from 80% last quarter. WOW! tv+ helps facilitate our transition to our all-IP services and our network, migrating off of our legacy video product, and unlock significant broadband capacity. With a greater proportion of our customers buying higher speeds, this enables us to maintain our strong competitive position, continue to support future demand, and is a key step in the longer term evolution of our network to 10G.  Another milestone we recently hit is the steady increase in the number of HSD-only customers who are now using our self-install kits. In the fourth quarter, more than 80% of our HSD-only customers used these kits, up from 30% a year ago. The pandemic highlighted how essential our products are, and how much our customers rely on WOW! to keep them connected. We recently introduced our new Fiber Flex data service across many of our markets to provide high speed internet access at a lower cost to support small and midsized businesses. The program is designed to help ensure these businesses to have consistent access to the Internet, while they navigate the challenges they're currently facing as a result of the pandemic. This is a great example of how we are working with our communities and our customers to help them adapt and succeed amidst this challenging environment.  Earlier this year, we mentioned that we were named one of the Best & Brightest Company to Work For in Atlanta, Chicago and Detroit. This quarter, I'm excited to share that we also won this award in Denver; and for the third consecutive time, nation-wide. These awards mean so much to us, especially during this difficult time. As I've said before, our employees are one of our key differentiators that enable us to provide exceptional customer service, which is one of the reasons why we continue to maintain historically low levels of both employee turnover and customer churn.  To conclude, I would like to reinforce how pleased I am with our results. The significant momentum that grew throughout the year affirms our strategy and shows the incredible commitment from all of our employees who consistently demonstrate their passion and adaptability to the challenges of our current operating environment.  Now, I'll turn the call over to John, who will go over our financials in more detail. 
John Rego : Thank you, Teresa. This was a strong quarter and a great year for WOW!. We delivered impressive results that exceeded our expectations and reflect the strength of our team and our broadband-first strategy. In the fourth quarter, total revenue increased 3.4% to $293.2 million and subscription revenue increase 4% to $272.1 million from the same period a year ago, driven by a 13.4% increase in high speed data revenue, partially offset by declines in Video down 5.7% and Telephony down 5.9% from the same period last year.  For the full year, total revenue increased slightly from last year to $1.1 billion, and subscription revenue grew 1.4% as higher HSD revenue increased 8.9% which offset the decline in Video and Telephony revenues. We saw significant momentum in the back half of the year in our HSD business, which now represents more than half of our total revenue. The growth in revenue predominantly reflects the addition of new customers as well as existing customers buying higher speed tiers. The outperformance at our HSD business contributed to our higher EBITDA in the fourth quarter, which increased 13% to $123.2 million, with an adjusted EBITDA margin of 42%. Our adjusted EBITDA for the full year was $437.1 million, up slightly from last year, which included a one-time adjustment in the third quarter of 2019 from proceeds for the business interruption insurance related to Hurricane Michael, which improved our 2019 numbers by $3.8 million.  We believe that our adjusted EBITDA and EBITDA margins will continue to improve as our high speed data business grows relative to the decline in Video and Telephony.  As you can see on this next slide, our incremental contribution margins are steadily increasing. Incremental contribution is defined as subscription revenue less the cost directly incurred from third parties in delivering services to our customers. These are predominantly programming costs attributable to our Video business. This slide shows very clearly that as we continue to grow our HSD revenue while Video declines, our incremental contribution margin goes up significantly. During the fourth quarter, the incremental contribution margin was 69%, up from 64% of the same period last year. And as this trend continues, we expect to see the benefits flow through to our adjusted EBITDA as incremental contribution is a leading indicator for EBITDA.  Now, I’d like to spend a few minutes talking about capital and our balance sheet. With improvements in our incremental contribution margin and growth in HSD revenue, we believe that we are positioning our financial profile to increase our free cash flow and reduce our overall leverage ratio. Our business is relatively capital-intensive and there is naturally a degree of volatility quarter-to-quarter, which is why we manage our CapEx and measure it more on an annual basis than a quarterly basis. In the fourth quarter, our CapEx was up sequentially due predominantly to network growth and maintenance projects that were planned for the year, but ended up being executed largely in Q4. On an annual basis, however, our CapEx continues to trend lower. In 2020, our CapEx came down 5.4% from last year to $234.1 million. Coupled with our strong results and operating discipline, we continue to increase our free cash flow. In 2020, we reported a record $43.3 million in free cash flow, which was up from $18.8 million last year.  With regard to liquidity and leverage, we had $12.4 million of cash on hand at December 31. And our outstanding debt totaled $2.3 billion.  Finally, before we open up the call for questions, I'd like to talk about guidance. Last year, we removed our guidance at the beginning of the pandemic. Almost a year later, although there is still some uncertainty regarding the future impact of COVID, we want to reintroduce guidance and provide our outlook for the upcoming quarter. We expect total revenue to be between $281 million and $284 million; high speed data revenue to be between $150 million and $152 million; and adjusted EBITDA to be between $106 million and $109 million. We also expect HSD net additions to be between 8,000 and 10,000 in the quarter. This was a very strong quarter and a great year for WOW!. We're executing our broadband-first strategy, we're building on our momentum with record net additions of HSD RGUs and revenue. For the year, we're off to a great start in 2021. And now we'd like to open up the line for some questions.
Operator: [Operator Instructions]. And your first question comes from Batya Levi with UBS.
Batya Levi: It's good to get to the first quarter guidance. Maybe if you could talk a little bit about how we should think about the whole year in terms of the -- maybe EBITDA trends. Is there anything that you would want to highlight that could change it from here on? Maybe an update on bad debt accruals, collections will be good? And on the HSD add side, could you provide a bit more color on the competitive environment? And how the terms have been since the beginning of the year?
John Rego: Thanks, Batya. I'll start on the first part, so on the guide. So we did remove guidance predominantly for all of last year. So we want to reintroduce and I think it's important. So we throughout the quarter -- and my expectation is that by the time we report the first quarter, we'll be able to guide you for the balance of the year, that being said. If I looked at where our expectation is for the balance of the balance of the quarter -- sorry, for the balance of the year, I'd be looking to see something in the low to mid-single-digits. And we can put some more color around that as we report to you when we do the Q1 earnings call. I think what holds us back a little bit is, I still don't know the full impact of COVID, what's going to happen and the worries of COVID are that the places where COVID affected us, COVID affected us a little bit less than we thought this year. But we did get hit by about $12.7 million of unplanned stuff because of it. It came in multiple areas, the three largest areas that we got hit by COVID were diminished advertising revenue, which makes sense, right? We had a little bit of a pickup in Q4 because of the election, but overall for the year were down almost $7 million on ad revenues. We had some incremental costs in our customer care operations, because we had to onshore some of the operations due to COVID issues in the Philippines. And then the third area we got hit was there was a little bit more than we would have hoped for bad debt experience. And so that's just kind of the area we don't know. We're hoping that advertising comes back. We had a little trough in Q4, but the elections are over. So we just have to write this one out. So when we’ll get a bit more clarity, which I hope to get in the next several months, we will put it forward with the rest of the year guidance, that is the plan. And Teresa, do you want to take the second part of the question?
Teresa Elder: Thanks, Batya. And so what I think other than talk about the competitive environment for HSD net adds, as we said, this was a record year for us. We feel very good about it. We certainly had a strong finish to the year as well. What we found last year was that some of the seasonality trends didn't match what we traditionally see in this industry. And so it's been interesting just to start the year out to find out will we be back to seasonality of 2019 or will it look more like 2020 as people are adapting to hybrid learning and all of the other dynamics related to the pandemic. What we saw for the holiday period was similar to what we've seen in our industry. And that is a number of holiday offers, which we participated in too. But I can tell you, from a competitive standpoint, obviously, our numbers are good. We are giving our customers choice, speed, reliability and good value. And we're also continuing to see low churn, which is another factor certainly to look at our competitiveness. 
Batya Levi: And just a follow-up if I could. Some of your peers are suggesting that some of that activity was pulled forward into 2020 and now there's a bit more lower sales environment. Is that something that you're experiencing as well? And I wanted to squeeze in one more, CapEx level. You did mention that you look at it more on an annual basis. Can you give us maybe sort of directionally some help in terms of how CapEx would be this year? 
Teresa Elder: John will do CapEx and then I'll follow-up on the.... 
John Rego: Yes, so I think, looking at 2021, as of right this moment, I would suggest you about either flat to 2020 or slightly lower than 2020. And really, one of the bigger drivers on the CapEx story and we'll get more color is, if we continue with our transport 80 something percent of folks taking the HSD-only because Video drives a bit of CapEx, so you can understand. It involves check roll, of course, invest, capitalize, the set-top box, et cetera, et cetera, et cetera. So I think to look at it overall from what I see right now, I would say for your planning purposes, I would go for flat for this year or slightly below for now. I will update you a little closer when we do the first quarter. 
Teresa Elder: And in terms of the demand, I think that that's the question that we all have in terms of the seasonality. We’re going to see -- as it is more traditionally in industry, certainly last year, in the last couple of weeks of the first quarter, we saw the demand skyrocketed. People were moving to work-from-home and learn-from-home and the second quarter had that impact. I think we have to wait and see kind of what the trends are going to look like so far this year. But I can tell you, with all of the choices customers have looking at speed and reliability for good value, WOW! is competing very well as people are making their choices. We don't think the demand for broadband is going to go to pre-pandemic levels. We believe that the demand for broadband and people's habits are going to remain at some higher level. We just don't exactly know where that's going to work out as the economy continues to open up as vaccines roll out. 
Operator: And your next question comes from the line of Frank Louthan with Raymond James. 
Frank Louthan: I wanted to see, was there anything one-time in the quarter, any accrual, reversals or anything like that, that impacted results? And then second question, what would be the impact to your business if data caps were lifted again. What that cost you think that will enclose or/and how difficult would that make things for you on the broadband side?
Teresa Elder: Okay, why don’t I take the question on data caps? So, we don't have data caps on our services that we provide to our customers. So, we continue to watch what happens with regulations, but we feel we are good stewards of bandwidth and the network, and we'll continue to operate in that fashion, providing great value for our customers. And then I'll turn it over to John, on the question on the results and any accruals. 
John Rego: Yes, it’s a good question. I wouldn't say there is a particular special one-time within there. I think what I saw and what pleasantly surprised is, we thought we were going to get hit a little worse than we actually think on bad debt expense due to COVID, and people not getting another stimulus check, et cetera, et cetera, et cetera. So that was a welcome good guy, which happens once in a blue moon in your life. So that's one that we had. And we did get workers’ comp insurance for about $1 million that we weren't sort of planning on. That's about it. Anything else that came to us, I think, came from the business of broadband-first strategy and sort of that pushed out and moving towards greater than 50% of the revenue is now being derived from high speed data. So no special one-offs for change. 
Frank Louthan: Okay. So just less bad debt cost in the quarter, you have been reversing accruals when you got that, that you all -- you were expecting? 
John Rego: Yes, 100% correct. And part of that is, the reason why we're not doing a full year guide right now is I have no idea what's going to happen with stuff like that. So, again, my biggest issues with COVID for us over the past year have been advertising, either is it going to come back or it's not going to come back, bad debt. And most of the people have been trying to hold out there. But we've had some higher bad debt experience, not just in revenue but on commercial side as well. And increased costs in customer care. So we left the bad debt reserves exactly where they are. And if we do see a spate of this coming, we'll be prepared for it. 
Operator: Your next question comes from line of Kutgun Maral of RBC Capital Markets. 
Kutgun Maral : Great, thanks for taking the questions. If I could, I'd like to ask about M&A, free cash flow, and then maybe one on broadband. Maybe just on -- starting off with M&A and some optionality you might have there. Clearly, we're all focused on some big deals last year, which suggests that the market conditions are quite favorable for broadband companies, particularly for large infrastructure funds. So is there any update you can provide on, if there are opportunities to be there for a WOW! as a whole or across some of your markets? 
John Rego: Yes, I'll start with that one. So I mean we are excited to see the Astound transaction. And more recently, the Cable One Hargray transaction, because one thing that has done for us is, it's been appointed to do evaluations for our type of company of 12.5 times. And to put that in perspective, we've done -- our stock has moved up nicely in the last quarter, I would say, but I mean, we're still trading at like, just a hair under 8 times. So I think on one level, it sets what the proper value is, from what it is that we're doing here. So we're pretty excited about that.  Your other question, I mean, our company has a history of buying and selling markets, over 20 year life. So look at -- we're always looking at either direction. So no update to give you. But you never know which way this is going to go. Right now, we're about broadband. So we're just focused on running the business. But I do like the valuations. And I think it's helping us -- help people understand the value of our assets, which is substantial. 
Kutgun Maral : And then maybe just on free cash flow. You ended 2020 with free cash flow of about $43 million. Can you help us think about the different buckets looking into 2021? I know we're not -- you are not talking about specific guidance, but just looking at the different components, it sounds like there's a upward bias to EBITDA, maybe up low to mid-singles. You just noted CapEx could be flat, slightly down year-over-year. You still have a lot of NOL. So probably nothing on the cash tax side. I don't really know, if you could provide color on cash interest or working capital. Just because if I took all these things together, it seems like a fairly constructive outlook for the full year. So any thoughts would be helpful.
John Rego: Yes, to all. So even it's going to go up for sure, CapEx is flat to down for sure. And one thing I will give you some perspective on cash interest, and everyone who reads our 10-K and read the Page 84 will know that on May 31st the hedge that was bought a few years back, fixed LIBOR on $1.3 billion of notional value of our debt, expired. So our debt, our term loan is LIBOR at 1% floor plus 3.25%. But that hedge fixed $1.3 billion of notional value at LIBOR of 2.76. So there's a little cash flow infusion just from that happening. And that's only three months away. So my expectation is -- and this is not a guide, but my expectation is that we will do much better than the $43 million on free cash flow for next year. It's part of the whole plan, it’s what broadband-first is all about. So we’re kind of shape shifting the P&L, getting rid of clearly video, which is a sub 20% gross margin product, replacing it with a high 90 percentile gross margin product HSD, which drives web costs below the gross profit line. And then all the little extras and one of them being, cash interest is going down. And you're quite right with NOLs of roughly $900 million, it’s not a lot of tax here.
Kutgun Maral : If I could just squeeze one more in on broadband. Just how should investors think about the impact to WOW! from maybe some of your competitors expanding their footprints, whether that’s AT&T and their fiber build or even some of the larger cable companies that have accelerated their new homebuilds recently?
Teresa Elder: We do have quite a bit of overlap with AT&T. But I can tell you, the vast, vast majority of that is with their DSL service. And of course, we have an advanced fiber-rich network that can deliver 1 gig speeds. And we do this at a very competitive rate. And so we compete very, very well with that.  Overall, when I look at the footprint of competitors, who have high speeds through fiber, for example, whether it's Verizon or CenturyLink, or Frontier, it's a very small percentage of our footprint relative to the kind of super competitive overlap that some of our largest competitors have. So we feel good about our ability to continue to compete, we're continuing to grow our footprint just as others might. And because our markets generally are in the suburbs, the outlying parts of some of the largest cities, we don't see as much new builder activity at all in our footprint. So I feel like our ability to go in as a challenger brand, and really provide great service to our customers and choice has put us in great place. We've been a competitive company since the day we were established, and we're in great stead to continue to do that.
Operator: [Operator Instructions]. Your next question comes from the line of James Ratcliffe with Evercore ISI.
James Ratcliffe: Two if I could on agile and the like. You mentioned that the opportunity around MDUs and if you could help us size that and get a sense of what the economics look like in those units? And also are these areas where the MDU would have an existing bulk contracts? Are you growing into ones where it’s especially free for all? And second one just on Edge-Outs broadly, there were strains last year partially because of the pandemic. What sort of run rate would you like to be doing if the logistics made it possible? 
Teresa Elder: Thanks, James. Yes, Edge-Outs have really been a key part of our growth for a number of years now. And the Edge-Out strategy has allowed us to increase our homes passed over the last few years by nearly 200,000 homes. And we continue to drive that penetration. That was our strategy for last year and we still are liking that strategy to increase the penetration we have in our existing footprint. With that said, we are doing rigorous selection of new areas for this year, including, as I mentioned MDU, partially because they you have such a great IRR, as does our other Edge-Out areas that we have selected in the past. So when we think about these MDUs, they're generally areas where, of course, we have the right of entry, and then we can have a higher penetration rate. And in some cases, we are really the preferred provider, and can have significantly higher penetration than we would in perhaps a residential neighborhood.  So we also know that the IRR is driven by the build costs. And with an MDU situation, it is a less expensive to build just because of the miles of clamps that has to be covered as opposed to in residential communities. So there's a lot of benefits to it. So we're excited by that opportunity.  As we think about this year, we really are putting out a specific number as a target in terms of new homes passed. We're going to select them, like I said, through a continued rigorous process via the criteria for our return on those while also harvesting the vintages we've had over the last few years. But we view this as a huge opportunity for the future. And one thing if I can just add on Edge-Outs that I'm especially excited about is the opportunity that we have, as we move to an all-IP services across our network. That actually gives us the flexibility, where we can provide services that are not necessarily adjacent to our existing network. But rather we can look more broadly at opportunities that are further away and still provide those services from an IP perspective versus our traditional QAM video structure that we have. So we actually are very optimistic about Edge-Outs, and we continue to make sure we're using all of our capital or its best use. 
Operator: And our next question comes from the line of Brandon Nispel of KeyBanc Markets. 
Brandon Nispel: Teresa you had mentioned the increase for minimum speed tiers for your product set. Could you comment on the mix of customers coming in at the various tiers and whether or not the volume in terms of mix had changed relative to the timing of you making the change in minimum speeds? Then for John, how many video subs do you think you'll have in the next -- at the end of three years from now? And what do you think the long-term EBITDA margin profile of this business could be? 
John Rego: Yes, do you want me to go first, Teresa? 
Teresa Elder: Either way. Go for it. 
John Rego: Yes. I mean my expectation is three years out to be sub-100,000 video subs. I see -- I think they're a little bit maybe a resting perhaps the back half of this year, and folks dropping out of video. But as you know, I was in the other side of this business for a really long time, and it's going to go away. So my expectation is to be sub-100,000. In my own modeling, that's shockingly, usually a very, very different looking WOW! Because as we all know, again sub-20% gross margins on video and significantly higher 90% plus margins on HSD. So I'm looking at three, four years from now, we could be looking at 50 plus percent EBITDA margins, high-50s on that WOW!. So we got to work our way there. That’s the broadband-first strategy, right? We're going to be making progress by the day as we do the swap. And over the past couple of quarters, I’d say we’re starting to see it happen in our numbers. And again, being plus 50% in revenue from HSD is a massive milestone. I mean two years ago, we were like 38% HSD. So it's happening and it’s happening in real time. So that's what I would be looking for, sub-100,000 in the next couple of years. 
Teresa Elder: And just to the other part of your question, Brandon. One of the things that we shared on the webcast documents too, is that HSD only sell in mix, which is something we just started disclosing in last quarter's call. And so for the new customers coming in, we're seeing 86% of them at that 200 meg speed or above. And we don't share the details of how many of those are what we consider to be big HSD, which is 500, or 1 gig. But we are continuing to see those numbers grow as a percentage as well.  In addition, there are many, many customers in our existing base. So that diagram on the webcast is about new customers, our existing base was upgraded to 1 meg -- 100 meg for the minimum for all customers. But over the last year, especially we have seen many, many customers upgrade to 500 and 1 gig speeds. As with all of us, we're spending all day on Zoom with learning, our work and entertainment. So the mix across the board is moving upwards. 
Brandon Nispel: That’s super helpful. If I could follow up with one quick question. You had mentioned that the retention on bundled video customers to switching to Internet-only was significant. Can you quantify that please? 
Teresa Elder: Yes, exactly. So what we're seeing as you can tell from our subscriber numbers, we are growing our subscriber base, even as our video subscriptions are coming down. So as we talk to customers, and they're telling us about their desire to continue consuming video in a big way, but that they want to manage their budget, we are very consultative and actually agnostic on how they get their video, whether it goes to streaming services, or if they choose to switch to our tv+ product. And what we're finding is customers appreciate that empathy, that understanding and are working with them to get the streaming services they want. That means more and more customers may be dropping the traditional video service, keeping their broadband with us, and they're very happy customers. They often tend -- when they have this kind of interaction with us to increase their speed, they often add Whole-Home WiFi services to the mix. And they tend to stay with us for a long time. So we're seeing reductions in churn, lower lifetime -- or lower churn over time, which means higher lifetime value. So there's, I think a lot of good things that happen as we really are listening to our customers and helping them find the best solution.
Operator: We have no further questions at this time. I would now like to turn the call over to Teresa Elder for closing remarks.
Teresa Elder : Well, thank you all so much for joining us this afternoon. And thank you for your continued interest and support of WOW!. We look forward to speaking with many of you in the coming week. Have a great evening.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.